Operator: Good day. And welcome to the Ryerson Holding Corporations Third Quarter 2021 Conference Call. Today’s conference is being recorded. At this time, would like to turn the conference over to Justine Carlson. Please go ahead.
Justine Carlson: Good morning. Thank you for joining Ryerson Holding Corporations third quarter 2021 earnings call. I am here this morning with Eddie Lehner, Ryerson’s President and Chief Executive Officer; Mike Burbach, our Chief Operating Officer; Jim Claussen, our Executive Vice President and Chief Financial Officer; and Molly Kannan, our Controller and Chief Accounting Officer. John Orth, our Executive Vice President of Operations will be joining us for Q&A. Before we get started let me remind you that certain comments we make on this call contain forward-looking statements within the meaning of the federal securities laws. These four looking statements involve a number of risks and uncertainties including the impact of COVID-19 and related economic conditions that could cause actual results to differ materially from those implied by the forward-looking statements. Such risks and uncertainties include but are not limited to those set forth under risk factors in our annual report on Form 10-K for the year ended December 31, 2020. You are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date they’re made and are not guaranteed the future performance. In addition, our marks today refer to several non-GAAP financial measures that are intended to supplement but not substitute for the most directly comparable GAAP measures. A reconciliation of the non-GAAP financial measures discussed on today’s call to the most directly comparable GAAP measures is provided in our third quarter 2021 earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our website. I will now turn the call over to Eddie.
Eddie Lehner: Thank you, Justine. And thank you all for joining us this morning to discuss our third quarter 2021 results. I would like to begin this morning by thanking with deep gratitude and admiration all of my Ryerson teammates for executing another extraordinary record-breaking quarter as we posted our highest adjusted EBITDA excluding LIFO for the second consecutive quarter, while also setting a new gross margin, excluding LIFO records. I also want to thank both our customers and our suppliers as we continue to navigate through a myriad of industry-wide supply chain disruptions, displacements and dislocations. Pick any number of descriptors and supply could not meet demand during the quarter. We would turn it demand delayed but not ultimately denied as unfulfilled needs are compiling and compounding. At a macro level, we continue to see elevated pricing across our product categories and while peak spot carbon sheet fuel pricing is waning, it is leaving in well-supported price baseline at levels higher than past decade averages given secular drivers such as decarbonization and consolidation among others. Ryerson’s diversified metals mix with 50% of revenues generated from bright metals augmented gross margins in the quarter and we expect this to continue for the balance of the year. We are observing a number of positive demand factors or a re-gathering of demand momentum in our end markets that support sustainable manufacturing strength. These factors include decarbonization, consumer spending power, company earnings, fiscal policy, monetary policy, infrastructure investment, onshoring and ongoing restocking from low levels of consumer inventories and longer life asset inventories and build rates. Record results being a function of the right things done well, we can point to accomplishments through the quarter that materially improve Ryerson financial position, while enabling further investments in the future coupled with tangible shareholder returns. All roads lead with strong balance sheets, supporting investment in great customer experiences across our network of intelligently network industrial metal service centers. Our actions in the quarter demonstrated that clarity through a nearly 200% year-to-date increase in net book value as we pay down higher costs, long-term debt, derisk legacy liabilities, invested in a value-added acquisition, along with investing in greenfield service centers, while paying quarterly dividend and repurchasing shares. Given the note and advancements in Ryerson’s financial and operating position, Ryerson’s Board of Directors approved an update to our capital allocation plan a $0.005 per share quarterly dividend increase. Our fourth quarter dividend which will be paid on December 16th to shareholders of record as of November 15th will therefore be $0.085 per share. This dividend increase underscores our confidence and our future trajectory and increased earnings potential while reflecting our commitment to consistently delivering value to our shareholders through the cycle. I will now turn the call over to Mike to discuss the third quarter pricing environment.
Mike Burbach: Thank you, Eddie, and good morning, everyone. In the third quarter metals markets remain tight. LME aluminum ended the third quarter up 16% compared to the end of the second quarter and appears to continue to appreciate into the fourth quarter driven by magnesium supply shortages. Likewise LME nickel prices increased by 8% by the end of the third quarter compared to the end of the second and current supply dynamics for stainless products remain tight. Pricing across carbon steel products continue to increase throughout the third quarter but posted incremental declines across specific carbon sheet categories in the beginning weeks of the fourth quarter, as prices show signs of modest spot market and future’s curve retracements. Overall pricing remain strong across most all products and grades with availability more of a concern than price. Although, carbon prices may be peaking as predicted by Carbon Futures Pricing we also foresee demand conditions remaining positive supported by longer term secular trends. Expanding on the demand environment macroeconomic indicators remain positive in the third quarter. The ISM Manufacturing PMI Index read well above 50 for each month in the third quarter reflecting an expanding manufacturing environment, while the U.S. Industrial Production also reported year-over-year growth rates in each month. Just apposing positive economic data North American industry shipments as measured by the Metal Service Center Institute or MSEI contracted nearly 5% quarter-over-quarter, which represents a stronger seasonal decline than historically experienced. We attribute this weakness to ongoing supply chain bottlenecks that intensified during the summer months. Early Q4 indicators indicate improved reopening trends after the fourth pandemic wave that pervaded the third quarter. Ryerson’s third quarter North American per day shipments reflected the broader industry trend as most of our end markets with the exception of oil and gas saw softer customer activity compared to the previous quarter. However, we believe we are seeing demand deferral rather than erosion as our customers are reporting strong demand and increasing backlogs for their products. Supply chain constraints are currently delaying the production and completion of finished goods. Constrained resources include everything from labor, transportation and chips to imported parts. As consumers, we see the effects of these constraints as lawnmowers, furniture and appliances are harder to come by and auto dealer inventories remain lean. With that, I will turn the call over to Jim for our fourth quarter outlook.
Jim Claussen: Thank you, Mike, and good morning, everyone. Building on the market dynamics that Mike discussed, where we recognize constraints persisting in our customers supply chains we are optimistic about the fourth quarter business conditions and anticipate reporting a strong finish to 2021. At this point in the quarter placing growth across carbon products appears to be plateauing. However, we have seen continued strength in stainless and aluminum prices. We expect fourth quarter volumes to soften compared to the third quarter due to normal seasonality patterns and some continued supply chain and market constraints. Therefore Ryerson anticipates fourth quarter 2021 revenues of $1.5 billion to $1.6 billion, assuming sequential average selling prices up 5% to 7% and shipments down 7% to 9%. LIFO expense in the fourth quarter is expected to be in the range of $71 million to $75 million, as replacement costs continue to increase relative to average inventory costs. Given these expectations adjusted EBITDA, excluding LIFO is expected to be in the range of $228 million to $232 million and earnings per diluted share are expected to be in the range of $2.38 to $2.48. Turning to Ryerson asset management in the third quarter, inventory restocking to normalize service levels increased our cash conversion cycle to 68 days up from 55 days in the second quarter. This intentional inventory investment resulted in days of supply of 78 days up from 63 days in the previous quarter and as a result of this third quarter restocking investment the company used $21 million of operating cash. In the third quarter, Ryerson realized expense leverage as warehousing delivery, selling general and administrative expenses decreased as a percentage of sales from 12.6% to 11.4%. Despite inflationary pressures on labor, fuel and operating supplies, warehousing delivery, selling general and administrative expenses only increased $2 million nominally quarter-over-quarter or 1.1%. Asset distributing Ryerson’s first quarterly cash dividend on September 16th, Ryerson’s Board of Directors has improved an increase to the dividend of $0.005 per share. Our fourth quarter dividend of $0.085 per share of common stock will be payable on December 16, 2021 to stockholders of record as of November 15, 2021. Additionally, during the third quarter Ryerson repurchased approximately 39,000 shares at an average price per share of $22.31 resulting in an additional return to shareholders of approximately $1 million. These repurchases were made as a part of our share repurchase program which authorizes purchasing up to $50 million of the company’s common stock over the two year period ending in August, 2023. Between the dividend and the repurchase program initiated in the third quarter we were pleased to have returned approximately $4 million of value to our stockholders. Now we will turn the call over to Molly to provide further detail on our third quarter financial results.
Molly Kannan: Thank you, Jim, and good morning. In the third quarter of 2021, Ryerson generated revenues of $1.58 billion, which is within the range communicated in our third quarter guidance with average selling prices up 19.6% and volume down 7.2% from Q2, 2021. Gross margin expanded to a record 23.1%, compared to 18.1% for the second quarter of 2021, as selling price growth outpaced inventory costs. Reflective of the rapid increases in industrial metal prices in the third quarter, included in third quarter 2021 gross margin is LIFO expense of $102 million, which is in line with the second quarters LIFO expense of $105 million. Excluding the impact of LIFO, third quarter gross margin expanded by 410 basis points from the second quarter of 2021 to 29.6%. Net income attributable to Ryerson Holding Corporation for the third quarter was $50 million or $1.27 per diluted share, compared to net income of $113 million or $2.91 per diluted share for the second quarter. Included in third quarter net income was a $98 million non-cash settlement related to the partial annuitization of our pension liabilities and $6 million of expenses related to the partial redemption of Ryerson’s 2028 notes. Adjusted net income attributable to Ryerson Holding Corporation excluding the pension settlement charge loss on retirement of debt and the associated income taxes was $127 million for the third quarter of 2021 or $3.25 per diluted share. This compares the second quarter 2021 adjusted net income of $48 million or $1.24 per diluted share, which excludes gain on sale of assets and the associated income taxes. Ryerson generated adjusted EBTIDA including LIFO of $301 million in the third quarter of 2021, an increase of $104 million compared to the previous quarter. To put our results into perspective our third quarter adjusted EBITDA excluding LIFO nearly equal to $308 million attained in the full year 2018, which was our best year since Ryerson was acquired by Platinum in 2007. Year-to-date, Ryerson has generated $622 million of adjusted EBITDA excluding LIFO. We completed a partial pension annuitization in the third quarter as part of our continued efforts of reducing Ryerson’s pension plan liability exposure. This $206 million annuitization is expected to result an economic savings of approximately $5 million on a net present value basis. Additionally, the partial annuitization resulted in a re-measurement of the Ryerson U.S. pension liability leading to an accounting liability decrease of $44 million since prior year end, primarily driven by increasing discount rates and strong pension asset returns in 2021. We also furthered our financial transformation by utilizing the proceeds from our second quarter sale leaseback transactions to repurchase $100 million of our outstanding 8.5% senior secured notes due 2028 at a price of 104% in July. We also executed our second $50 million notes redemption at a price of 103%. These transactions were possible due to the optional redemption features we secured in our 2020 refinance and they effectively decreased the outstanding balance on our senior secured notes to $300 million as of the end of the third quarter, a decrease of 40% compared to the original $500 million principle. This $200 million reduction has reduced or annual interest expense by $17 million. Ryerson ended the third quarter with $633 million of net debt, an increase compared to $563 million for the previous quarter. However, as a result of our increasing trailing 12-month adjusted EBITDA excluding LIFO, the company achieved a leverage ratio of 1.0 times for the quarter down from 1.5 times in the second quarter of 2021 and at the low end of our long-term strategic target range of 1 times to 2 times. Ryerson’s third quarter global liquidity of $698 million represents a decrease, compared to $890 million as of the end of the second quarter as the company applies sale leaseback transaction proceeds to redeem a portion of the 2028 notes and made working capital investments. In sum the third quarter financial records reflect both the successful efforts of our long-term financial transformation, as well as the dedication of our commercial, operational and corporate team. With this, I will turn the call back over to Eddie.
Eddie Lehner: Thank you, Molly. With the completion of Ryerson’s 179-year insight, we can say with hard knocks conviction that we will begin our 180th year in business with proof and promise, the proof of delivering on our plans and the promise of better times ahead. We are now seeing the comitative positive effects of lower fixed cash commitments, a lower cost of capital, lower leverage ratios, lower legacy liabilities, higher book value of equity and intelligent capital allocation, all powered by higher intrinsic EBITDA and cash flow generation. Creating great customer experiences with passion and purpose is the ones in future perpetual opportunity machine enabling our growth as an organization and the realization of our vast human potential. As we look beyond the past two years, it’s felt every bit like 20, in experience years, we continue our work for a more just and inclusive society, while tirelessly advocating for the investments required in the many types of infrastructure that engender and sustain a broader based prosperity and a better quality of life for all. That is why metal matters, as you will see when visiting us at ryerson.com and why the buildnowmovement@msci.org are so vital and imperative. Give them both a long look. Let’s make infrastructure investment happen without further delay. We need it, we need a lot of it and we will see profound betterment across the board because of it. With that, let’s take your questions. Operator?
Operator: Thank you. [Operator Instructions] And we will take our first question from Michael Musser with KeyBank Capital Markets. Please go ahead.
Michael Musser: Hey. Good morning. First, I just wanted to ask on how much third quarter margins benefited from import our arbitrage opportunities, just given that foreign steel prices notably HRC are dramatically lower than domestic levels and how should we think about that opportunity going forward as prices begin to normalize?
Eddie Lehner: Michael, good morning. This is Eddie. We really have not imported significant quantities of anything. We said in the past, I mean, some of our imports coming to Canada and they really tend to be on the margins in terms of really wide product or heavy product or things that are just really difficult to procure, but our import percentages are -- I mean, our import percentage are negligible and really didn’t make any contribution to margins or to our holding gains and inventory during the quarter. I think going forward you will see some of that arbitrage even if you look at the futures curves now based on the announcements that were made earlier this week in Europe you’re already starting to see the arc close between European HRC and UA -- and United States HRC futures. So I think if you tie those two threads together, you will start to see that arc come in. I think it will support margins for those that choose to import, to some extent. But the pricing environment is still healthy and strong. I really think it’s underpinned by demand that is going to have a really nice trajectory going forward, because as we noted we really believe it was demand deferred not denied and we see that demand continuing to accumulate as we go forward into 2022.
Michael Musser: Got it. And going off of that as we look at your end markets you alluded a broad demand deferral rather than erosion. Are there any markets where you’re seeing that more prominently or is there any market that might have more pent-up demand as a result of the deferrals as we move into 2022?
Eddie Lehner: I am going to kick it over to Mike. I would just say that, that demand of accumulation it’s really broad-based and widespread. I don’t think we’re even back to restocking levels through the channels that go out to our end customers and to our end customers, to their end customers. So I think it’s got a good duration to it and it’s got a good tenure. But I will let Mike expound on that some more.
Mike Burbach: Yeah. Thanks, Eddie, and good morning, Mike. Yeah. I think Eddie hit it right. We don’t really see any one area that’s impacted more than others. Obviously, you hear a lot about chips and transportation in the automotive sectors, so that’s kind of easy to identify in other areas that uses chips. But I would say, the theme that we hear pretty much from all sectors is the constraints that so many people are dealing with these days and that can be chips related, it could be supply chain bottlenecks for imported products. It could be any sort of labor issues or parts whatever. It really seems to be impacting most end markets and the theme is, demand is good and for the reasons mentioned the backlogs are increasing and the future’s looking pretty positive if we are they’re able to get past these constraints.
Michael Musser: Great. And then how should we think about networking capital going forward specifically as it relates to the inventory restock that we saw in the third quarter? Is that something we should expect to continue into year end?
Eddie Lehner: Jim, why don’t you take that one?
Jim Claussen: Yeah. Good morning, Michael. Really it was an intentional restock in Q3 on the inventory side, and we see that waning as we head into Q4 our service levels have normalized and we’re really in a good position to service our customer base. Would expect as you look at the other pieces AR tends to track revenue fairly closely for us.
Michael Musser: Got it. Thank you.
Eddie Lehner: So we would -- yeah. So we would expect to be cash flow positive in Q4.
Operator: And we will take our next question from Alan Weber with Robotti Advisors. Please go ahead.
Alan Weber: Oh! Good morning. Can you talk about, if or when pricing declines kind of changes you’ve made to kind of -- just to how you can play through that environment?
Eddie Lehner: Sure. Hi, Alan. Good morning. I think when you look at our history and you really sort of deep dive into the last 10 years and past being prologue, we’ve really done a lot of good work and all credit to the team around variablizing our cost structure. So if you look at how we’ve been able to get cost per ton and variable cost per ton down and rebuild it very carefully as we go from countercyclical or cyclical. I do think that the proof is certainly in the pudding there. But, we have a base case and we also have a top war plan and we have a bottom war plan that we keep at the ready all the time and we’re always revising that plan to make sure that we can get in and out of the cycle. And I think given the results that we’ve put up this year, it gives us really and even better framework for how we manage that process as we go from cyclical to countercyclical. So really great work done by the team and I think you see it in the working capital metrics and I think you see it in the expense metrics with generated expense leverage again this quarter. And I think we certainly have demonstrated the ability to manage that the other way when counter cycles inevitably come.
Alan Weber: And then when you look out several years, right? The balance sheets in much better shape the cash flow at least, it should be better. What -- how do you think about acquisitions and the company when you look out say five years, right, because you just said, you’re kind of at the low end of your leverage ratio today and that really should improve?
Eddie Lehner: Yeah. Alan, we certainly agree that the trajectory we’re on is a really good one and it’s a trajectory that we look forward to getting used to for a long time. I would tell you that we’ve done a good job with our acquisitions. When you look at some of the feedback we got initially when we did the CSW acquisition, we knew we were going to take it in the key for a little while. But as you can see that decision is more than validated itself again based on the great work done by everybody involved in the organization. So we have a robust M&A pipeline. We really have a very good outlook and line of sight on the type of CapEx investments that we would make to drive organic growth and organic improvements in the business and there’s no shortage of those ideas. But the really wonderful thing about the strategy that we’ve laid out is, when you deconstruct the customer experience and you break it down into its elemental parts and pieces you work to get to that future state at every part of the customer experience. There’s a lot of good investment you can do there. There’s investment that has a high return to it. Given our market share we’ve got a lot of market share that we can grow organically, while always being at the ready to look at acquisitions that are, I would say, are incremental, but also those that may be transformative. But it’s a high bar. I think we’re always looking at the same time. We still have some more work to do on the balance sheet and we want to make sure we finish that job. 
Alan Weber: And just my last question, in terms of acquisitions, how do you think about when you look at companies, right, because they may be smaller than you, but they’re going to have, obviously, much improved EBITDA this year. Like how do you look at it in terms of thinking about evaluation when you kind of -- if their results maybe reduce to some extent? Do -- how do you think about that?
Eddie Lehner: The way we think about it is we stay disciplined and we keep that discipline. I mean that’s how we think about it. Meaning, we understand the entire cycle of this industry and I think that means you have to maintain that discipline. And I would say again past is prologue. I think, if you look at the acquisitions we’ve done, you would expect us to behave the same way going forward.
Alan Weber: Okay. Great. Thank you very much.
Eddie Lehner: Thanks, Alan.
Operator: And we will take our next question from Matthew Fields with Bank of America. Please go ahead.
Matthew Fields: Hi, everyone. Great progress, whittling down the maturity on your bond this quarter. Just sort of a housekeeping question, when’s the next time you can do another $50 million or 103%, is it next July?
Eddie Lehner: I am going to say, yes. I am going to go ahead and ask Jim, Andy or Molly to confirm that, but I believe that’s the case, yes. I think, yeah, July.
Jim Claussen: That is the case, Matthew. It’s next July. We have a potential $50 million redemption. 
Matthew Fields: Okay. And that’s the last $50 million you can do until the bond becomes callable, right?
Jim Claussen: So there is…
Eddie Lehner: Yeah.
Jim Claussen: Yeah. Go ahead, Eddie.
Eddie Lehner: Go ahead. No. It’s okay. You first.
Jim Claussen: I was just going to say, yeah, we have that $50 million redemption and then there is a special redemption feature if there was an inequity call of 40% of the face value and then the…
Eddie Lehner: Right.
Jim Claussen: … call date is 2023.
Matthew Fields: Great. Okay. And then…
Eddie Lehner: Yeah. Hey, Matt. Matt. Yeah. Mathew, I would just say, our bond holders seem to like these bonds so they seem to like them.
Matthew Fields: Okay. Fair enough. And then, given the kind of age old pull and push between EBITDA growth and cash flow use, can you care to comment about how you plan to work down the revolver balance over the next year or so in balancing with your kind of new shareholder return policy and kind of the next forward12-month environment that you see?
Eddie Lehner: Yeah. Putting some color around that. I would say, looking at cycles and counter cycles in our industry, and looking at the amount of, at least historically speaking, if you look at just the countercyclical cash that, you could project that’s being stored on balance sheet now. You can understand very clearly what that means in terms of a trajectory towards paying down debt overall and the work that we can do on the bonds and the work we can do on the ABL. So the leverage ratios that we’re showing now of 1 times and 1.8 times on trailing basis, as LIFO effect settle out. I think you can see that we should have a very healthy free cash flow profile that allows us to balance shareholder returns against debt reduction and investments towards growth, Matthew. And I would say that, we find ourselves in a really good position and we would expect that to continue for the foreseeable future.
Matthew Fields: Do you expect to be able to start to sort of turn working capital around as you see maybe prices start to soften and this quarter or the next? How do you think about the cash flow working capital release sort of aspects of it over the next few months?
Eddie Lehner: Yeah. Well, I think, you get one or the other, if prices stay elevated and the underpins of demand start to actualize more than they have then you’re going to get it in EBITDA and you could expect working capital to start to level off. And so that cash flow would be driven by EBITDA and would certainly exceed the working capital needs of the business. And then as we go countercyclical, that cash that comes in, to the extent that we can work down the high yield bonds, we will, because that’s the best first option for us. But after that we would start to pay down the ABL to a responsible level and then we go from there.
Matthew Fields: Okay. Great. Thanks very much, Eddie, and good luck in the rest of the year.
Eddie Lehner: Thanks, Matt.
Operator: [Operator Instructions] We will take our next question from Sathish Kasinathan with Deutsche Bank. Please go ahead.
Sathish Kasinathan: Yeah. Hi. Good morning and thanks for taking my questions. My first question is on the -- on your decision to build two new facilities. Can you talk about the rationale behind that and maybe your latest thoughts on how you see the buy versus build strategy?
Eddie Lehner: Sathish, I am sorry, could you just clarify the last part of that question?
Sathish Kasinathan: Yeah. Maybe, I mean, the latest thoughts on how you see the buy versus build, so obviously you’re investing in new facilities…
Eddie Lehner: Oh!
Sathish Kasinathan: … instead of buying or consolidating the industry, which is already much fragmented?
Eddie Lehner: Yeah. Absolutely. Well, part of -- I would say part of the success that we’ve had is figuring out what notes to play and then playing those notes really well. And when you look at the monetization in the Seattle area and the monetization in the Chicago area and the beneficiation of some of our own real estate, we received a very -- what we thought was a really -- was good value for those assets. And then we turned around because we had an opportunity to modernize and build new facilities supporting the Chicago land market specifically for the CSW brand and franchise and then also repositioning ourselves in the Pacific Northwest marketplace with a modern facility with much higher degrees of efficiency and automation and really customer experience potential. So this is part of that growth, part of that modernization that we’re conducting throughout our network to really re-engineer and get to that future state customer experience. So I think it’s a very logical. I think it’s a very smart progression as we think through that network of how to build our market share over time profitably and the investments required to do that, while also having taken advantage of opportunities in the marketplace for the revaluation of assets that’s going on in our industry. And I think that’s something that is just starting to be recognized is that the assets in this industry are really more valuable than how they’ve been valued over the last decade.
Sathish Kasinathan: Okay. Thanks. And -- sorry, yeah. Go ahead, please.
Eddie Lehner: No. I was going to say, in terms of buy versus build, in this case in Centralia in the Pacific Northwest and in the Chicago and area specifically for CSW, developing those greenfield service centers made most sense. And I would say, concurrent with that, we’re always looking at our M&A pipeline and the opportunities out there to buy assets that we think are really accretive to our strategy.
Sathish Kasinathan: Okay. Are the new facilities more focused towards evaluative processing?
Eddie Lehner: John Orth, do you want to talk about that a little bit?
John Orth: Sure. Thank you, Eddie. Hi, Sathish. We are definitely focusing on where and how to intelligently allocate our capital and we see the value-add processes as an area of great opportunity and also service to our customers. At both of these greenfield facilities we are looking and analyzing what our best opportunities are around equipment automation both from a safety and throughput perspective, but also from a state-of-the-art on what can be done around plate processing and servicing our customers.
Sathish Kasinathan: Okay. And also can you remind us what your current evaluate processing mixes today and how much more incremental CapEx or capital is required for you to achieve your 15% target?
Eddie Lehner: Sure. So, historically, going back to 2010, the way we’ve measured it, it was 10%. If we looked at it in 2010 we brought that up to about 16% to 17% Sathish and we would look to move that above 20%. Now in order to achieve that we don’t need to invest more than what our rate of depreciation is from a growth CapEx standpoint. But we see a lot of very attractive IRR opportunities within the value-added equipment, value-added processing, value-added systems and the IT and systems tools that go with it to make incremental investments as conditions allow to accelerate that value-add percentage as we move towards 20% and look to take it higher than that as we move through the next, say, one year to two years to five years.
Sathish Kasinathan: Okay. Yeah. Congrats on a great quarter and then good luck for the next one. Thank you.
Eddie Lehner: Thank you, Sathish. Appreciate it. Thank you.
Operator: It appears there are no further questions at this time. I’d like to turn the conference back to Eddie Lehner for any additional or closing remarks.
Eddie Lehner: Thank you. And thank you for your continued support of and interest in Ryerson. Please have a safe, healthy and happy holiday season. And we look forward to being with all of you again for our virtual investor day on January 27, 2022, and again, in February when we review our fourth quarter and full year results. Take care. Stay well.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.